Operator: Good day, and welcome to the Bitfarms Second Quarter 2021 Financial Results and Corporate Update Conference Call. [Operator Instructions] Please note this event is being recorded. 
 I would now like to turn the conference over to Jules Abraham with CORE IR. Please go ahead. 
Jules Abraham: Thank you, Chuck, and good afternoon, everyone. Prior to proceeding of Bitfarms Q2 2021 results conference call, I'd like to remind you that certain statements that we made during the conference call may constitute forward-looking information. Bitfarms cautions listeners that forward-looking information is based on certain assumptions and risk factors that could cause actual results to differ materially from the expectations of the company. Listeners should not place undue reliance on forward-looking information. Please refer to those risks set out in Bitfarms' public documents filed on www.sedar.com and www.sec.gov/edgar. As well, the company undertakes no obligation to revise or update any forward-looking information or statements other than as required by applicable securities laws. 
 During this call, the company will refer to certain measures not recognized underlying FRS and they do not have a standardized meaning prescribed by IFRS and, therefore, may not be comparable to similar measures presented by other companies. The company uses the following non-IFRS measures: gross mining profit, gross mining margin, adjusted EBITDA, adjusted EBITDA margin, EBITDA and EBITDA margin, as additional information to complement IFRS measures to provide a further understanding of the company's results of operations from management's perspective. 
 We invite listeners to refer to the company's Q2 2021 management's discussion and analysis for definitions of the aforementioned non-IFRS measures and their reconciliations to IFRS measures. Please note that all financial references are denominated in U.S. dollars, unless otherwise noted. 
 Joining me today from Bitfarms' leadership are Emiliano Grodzki, Bitfarms' Chief Executive Officer; and Jeffrey Lucas, Chief Financial Officer. Geoff Morphy, Bitfarms' President, will also be available for the question-and-answer session. It's now my pleasure to turn the call over to Emiliano. Emiliano, over to you. 
Emiliano Grodzki: Thank you, Jules, and welcome, everyone, to Bitfarms' Second Quarter 2021 Results Conference Call. I'm extremely pleased to be speaking to you as the CEO of a NASDAQ traded company. 
 As you know, on June 23, we begin trading on the NASDAQ global market, which is a key piece of our overall strategy to become one of the largest and most profitable Bitcoin miners in the world. As we note in our earnings release, this has been a pivotal quarter for us as we made important strides towards our growth objectives. 
 We are committed to our previously communicated goals of achieving 8  exahash by year-end 2022. Despite the challenges associated with COVID, including procurement disruption that affect the build-out of our infrastructure, we are continuing to make solid headway and anticipate surpassing the 3 exahash mark during the first quarter of 2022. 
 Overall, we are making excellent progress on expanding operations at our 5 current locations to utilize our full 160-megawatt capability in Canada, up from 69 megawatts currently deployed and enabling us to take full advantage of our power purchase agreement and source our renewable energy at less than $0.04 per kilowatt hour. 
 Our Argentinian initiative to capitalize on our power agreement for 210 megawatts is moving forward and should position us to begin mining there in early 2022. In April, we hired Mr. Damian Pola as a seasoned corporate development and structured finance professional to direct our Latin American operations. Under his direction, we have established the corporate structure and began the build-out of our Argentinian operation. Damian has also begun charging other South American opportunities to source green, low-cost energy and computing capacity. 
 And broader level, our management team is exploring a number of other initiatives elsewhere in the world, including the United States and Europe that could take us beyond 8 exahash. This project are currently at various early stage. I look forward to updating you on this in the near future. 
 Statistically, our Bitcoin retention programs remain in place and continues to grow at an increasing rate at June 30, 2021, with hodl 1,293 Bitcoin what we mined since the beginning of the year. As of June 30, our Bitcoin was valued at $45.3 million. As of this past Friday, August 13, we have mined for the year-to-date [ 1,910 ] Bitcoin and hodl [ 1,820 ] Bitcoin valued as of this past Friday at USD 87.9 million. This represents over 95% of the Bitcoin we have mined since the year began. 
 As for the current environment, the ban on cryptomining in China and the associated shutdown of almost 1/2 of the network hash rate has benefited our expansion activities and our bottom line as well, with only modest increase in our direct mining costs, which paralleled increasing the number of miners we have deployed. We have been able to increase the number of BTC we mine each day to the current level of 12.5 to 13.5. This is up from 8 to 9 bit per mine per day at the beginning of the quarter. Furthermore, under this new paradigm, we are able to procure state-of-the-art miners to support our expansion at pricing per terahash basis lower than the original budgeted renegotiated prior commitment at more favorable terms. 
 Financially speaking, with our NASDAQ listing and the growing participation among lenders, we believe we are better positioned to fund our targeted XX increase in hash rate at a more optimal cost of capital and to continue our practice of retaining the low-cost BTC that we mine as we build our digital asset holdings. 
 Now  moving on to operational metrics. In the second quarter of 2021, our average hash rate was 1.3 exahash per second compared to 694 petahash per second for the same period in 2020, an increase of 89%. Towards the end of the most recent fiscal quarter, our hash rate exceeded 1.4 exahash per second with miners acquired and schedule for the new -- the next 2 quarters. We anticipate reaching 2.5 exahash per second in the fall of 2021 and achieving 3 exahash per second in the first quarter of 2022.  All in line with our target of reaching 8 exahash per second by 2022 year-end. 
 In terms of Bitcoin production, during the second quarter 2021, we mined 759 Bitcoin with an average cost of approximately USD 9,000 per Bitcoin and retained 1,293 Bitcoins -- Bitcoin. In addition, we received and installed 3,461 miners during the quarter, including the replacement of certain old generation miners, resulting in a net increase of approximately 240 petahash per second over the prior quarter. 
 Overall, I'm very excited about the progress we have made and the foundation we are needing to achieve our goals. Since the fourth quarter of last year, we have transformed the company. We have strengthened the balance sheet, improved its liquidity, developed a new asset class, established an aggressive growth plan and enchased our management team with seasoned professionals. We now have the piece in place to expand our geographic presence throughout North America while continuing to pursue potential opportunities in Europe and elsewhere. 
 In summary, we are building a global organization and leadership team capable of achieving the aggressive goals we have set out for our company.
 I will now turn the call to Jeffrey Lucas, our CFO, to walk us through the key second quarter 2021 financial metrics. 
Jeffrey Lucas: Thank you, Emiliano. In the second quarter of 2021, Bitfarms generated record quarterly revenues of $36.7 million, up $29.3 million or 400% compared to $7.4 million in the prior year period as we increased our average hash rate by approximately 89% and benefit from higher average Bitcoin pricing of approximately $46,500 in comparison to about $8,600 in the prior year period. 
 Third-party revenues from Volta, our in-house electrical services operation, which also services commercial and residential customers increased by $706,000 from $500,000 in the second quarter of 2020 to $1.2 million in the recently completed quarter. Second quarter 2021 gross mining profit and gross mining margin stood at $28.1 million and 79%, respectively, both quarterly records for the company compared to $2.5 million and 36% in the second quarter of 2020. This significant improvement was driven primarily by higher Bitcoin pricing and the increase in our hash rate negating the impact of the Bitcoin having on May 11, 2020.  The average cost of each Bitcoin mined at $9,000 with a slight increase over the first quarter's average cost of $8,400. This reflects the impact of higher operating costs of Bitcoin mined at our third-party host in the third quarter offset by the benefit from greater operating efficiencies. 
 General and administrative expenses, or G&A, were $10.6 million in the second quarter of 2021 compared to $1.4 million in the prior year quarter. The increase was due primarily to an approximate $6.1 million noncash charge for share-based compensation and higher professional fees, mainly associated with our NASDAQ listing. In building on Emiliano's point earlier, the higher G&A expense also includes the cost of building out our management team and our leadership team to execute our growth strategy over the next 16 months and beyond. 
 For the quarter, adjusted EBITDA and adjusted EBITDA margin stood at $23.8 million and 65%,  respectively, compared to $1.4 million and 19% in the second quarter of 2020. The increase in adjusted EBITDA and adjusted EBITDA margin were mainly attributable to the same factors as for the increase in gross mining profit and gross mining margins just explained. 
 Adjusted EBITDA, by the way, is EBITDA, excluding noncash compensation expense, the revaluation of digital assets and financial income and expense. The company's second quarter 2021 EBITDA was $2.7 million, resulting in an EBITDA margin of 7% compared to an EBITDA of $416,000 and EBITDA margin of 6% in the second quarter of 2020. EBITDA includes a $14.9 million loss on the revaluation of the company's Bitcoin holdings during the period resulting from the lower Bitcoin price at the end of the second quarter of 2021. 
 Net loss for the quarter was $3.7 million or $0.02 per share compared to a net loss similarly of $3.7 million or $0.04 per share in the year ago quarter. As noted, the higher revenues and mining profits were offset largely by higher G&A expense and a loss on the revaluation of the company's Bitcoin holdings as a result of the lower Bitcoin price on June 30, 2021, and the higher noncash compensation charge in professional fees previously noted. 
 The company ended the quarter with cash of approximately $36.2 million and total liquidity, defined as cash and our Bitcoin holdings of approximately $81.5 million. The cash position reflects approximately $57 million raised from the private placement in May and prepayments made from mining is totaling $73.4 million in support of our extension plans in achieving our 8 exahash target. 
 Overall, for 2021, year-to-date through June 30, we raised about $158 million from private placements in the exercise of warrants and options, which were predominantly used to invest in mines infrastructure as we work towards our 8 exahash goal to reduce corporate indebtedness and to fund our ongoing operations while we continue to build a Bitcoin holding. This completes our prepared remarks for the quarter. 
 I will now turn the call back to the operator to check for  questions. 
Operator: [Operator Instructions]  And the first question will come from Kevin Dede with HCW. 
Kevin Dede: Could you just elaborate a little bit on the international growth plan? I apologize. I didn't quite catch it. 
L. Morphy: Sure.  I'll start and if Jeff Lucas wants to join, and he can. It's Geoff Morphy speaking. Yes, the whole situation with China has just opened doors to tremendous opportunity for not just us but all North American miners. And we changed our strategy, the type of profitability and cash flow that is possible because of the increased market share and the economics right now is phenomenal. And so we turned ourselves more into a marketing and business development machine so that we could look for newer opportunities with renewable energy in Canada, primarily in Quebec. We're looking for opportunities in the United States. As you know, we already have the power purchase agreement that we're developing in Argentina. We're looking at other countries in South America, and we started looking at opportunities in Europe as well. The focus beyond Argentina is primarily on renewable energy sources because we think that's where the long-term value is. And we are, as Emiliano's comments said, in various early-stage discussions in a number of places. And the discussions are encouraging. 
Kevin Dede: Okay. Thanks, Geoff. Just digging a little deeper on Argentina. Where does that PPA stand? I mean is that fully signed now? And then understand Emiliano mentioned hiring a new gentleman to help, I guess, accelerate development in Latin America. Could you just sort of add a little more color on those topics, please? 
L. Morphy: Sure.                  been signed now for a few months. It's a wonderful contract. And like we only pay for what we use. So there's no significant deposits or down payments that we have to do on that contract. So we've put our focus in on the development work to make this a success. And like we're far afield from Argentina here in Canada. So we need to start bringing and building our team in Argentina. And Damian Pola was the first hire. He's native of Argentina, but he went to school in the United States, I think in England as well and worked in New York and project finance doing a number of electrical power generation projects around the world. I think he did that for those 10 to 12 years working for one of the biggest project finance banks in New York City. And -- So he's got extensive experience, and he's building our team down there. We are on the hunt for a controller down there and other staff. 
 We are just in the final stages of negotiating final terms to an EPC contract for the construction. We fully expect that we are going to be signed off on that in the very near future and shovel in the ground. We've got a owners engineer that is making sure that everything is being done right for us. We have plugged in our operational experts as part of the Quebec team to assist technology transfer or information transfer to those type of people there so that we can employ our best practices that we've done in the evolution of our mining operations. 
 So it's evolving. And Kevin, part of -- we expect it to be a bit further along with our development. But what we needed to do is get a subsidiary incorporated down in Argentina, which is now done. We needed to get tax IDs approved by the government, and that -- they were slow and coming, but now that they're done, we're able to set up bank accounts, fund those bank accounts and start making payments, which really is opening the door to the type of progress that we're expecting. So we are still fully expecting to build out 210 megawatts in Argentina next year, with the first production starting at some point, probably in March or April of next year. 
Kevin Dede: Okay. Congratulations on the progress. When do you suppose you'd be able to break ground on that -- on the construction phase? 
L. Morphy: We don't have a definitive date yet, but I'm hoping that's somewhere 30, 60 days away, tops. 
Kevin Dede: Okay. Then can we just talk a little bit about some of the other developments that you see given the change obviously in the Bitcoin mining economic environment out here. Where do you see inexpensive power and how do you expect to leverage it? I mean you mentioned Europe, North America. Can you offer anything more specific? Or is it something you need to develop as you have in Argentina? Or you may be hosting arrangement? 
L. Morphy: We're not -- we are looking at developing. Hosting arrangements are convenient. They're fast, but you give away a fair bit of margin and they're not good over the long term. In our view, like we're a self-mining company. We like building our own infrastructure and plugging our own miners in and that's -- that represents the best control you can of your operations plus the best margins. So that's what we're looking to do in our endeavors elsewhere in the globe. So our discussions, as I said, we're early stage, but are in various stages. Some, there's a little bit of infrastructure and some are rather our greenfield opportunities. And we're very hopeful those move ahead nicely, but still far too early to pinpoint where those opportunities are, but they are with renewable power, primarily hydro. 
 And it's not just in other countries, but we're also in various discussions in the province of Quebec as well, where we have a strong home base. And I think our connections are opening up some opportunities, but they take a while to develop. Infrastructure is not particularly with renewable sources is not quick to develop, but when you have it, it's long term, and it's generally very economic. 
Kevin Dede: Right. Now Emiliano referenced 160 megawatts in Quebec. That's what you have control over now or access to now, correct? 
L. Morphy: Correct. That's through 8 power purchase agreements that are already signed and approved. We're drawing 69 megawatts, and we fully expect over the next 18 months to try to fully develop the remainder of those contracts. Like for example, in Sherbrooke, we have 96-ish megawatts. We are approximately 30 megawatts deployed now, and that's a major area of expansion for us, and we have a new facility that hopefully will get approved right around the corner. We've got all our plans done. We're ready to go, materials ordered. We're just waiting for the building permit to come in, and we'll be breaking ground there pretty shortly, at least I'm expecting to be. 
Operator: [Operator Instructions] The next question will come from [ Luke Walsh ], investor. 
Unknown Attendee: I was just wondering with rising average costs in Bitcoin with relation to the current operating costs. I was wondering would that be sustainable to achieve growing profitability within the company? 
L. Morphy: I think this is a good financial question for Jeff Lucas to handle. Jeff? 
Jeffrey Lucas: And the answer, Luke, is absolutely. As a matter of fact, first of all, as I think Geoff and Emiliano have alluded to it that a lot of the opportunities that we're pursuing are actually very, very attractive energy cost, even lower than what we're experiencing now in Canada, in the [ $0.22 ] that we've spoken about in the past in Argentina. So we feel actually very strongly that there's opportunities for us really to favorably affect our cost structure going forward. In addition, another point to make here is that one of the great strengths that Bitfarms brings, we got a really solid team when it comes to building out infrastructure and running the operations. And he's the guy to know very effectively how to build in a very constructive and economical level, our operations. 
 So really, we are very, very optimistic in terms of our cost structure. And not only in terms of our mining costs, which I just spoke to, but the fact is, of course, it has our hash rate increases, as our revenues increase we're going to have a relatively modestly growing G&A structure and operating structure in place there. So we're going to have a lot of operational leverage that's going to work in our favor, certainly over the next [ 15 months to several years ]. 
Unknown Attendee: That was a great answer. And additionally, one further question is it stated on the financial results page that over -- that the company uses over 99% of environmentally friendly hydroelectricity. And I'm wondering -- and it said that it was secured through long-term contracts. And I was just wondering for an emphasis on what the long-term contract provides for the company. 
L. Morphy: Thanks, Luke. Yes. As I mentioned to Kevin Dede, we have 8 power purchase agreements in the province Quebec. Province of Quebec is blessed with so much hydrology that they have significant power dams and hydroelectricity and a surplus of them, and we have these power purchase agreements. And unlike other places in the world where they have definitive terms. In Quebec, it's a little bit the other way around. 
 Hydro-Quebec is an agency of the government and produce power for businesses and residents in the province Quebec. And when you signed an agreement with them, they have an obligation to continue to provide power to you. So they literally do not have a term to them. And what's also beneficial is the fact that our average cost per kilowatt hour is just under $0.04 per kilowatt hour expressed in U.S. dollar terms in the province. And they have mechanisms to protect consumers in the province and in the industrial consumers so that if they decided to get greedy and try to increase the rates, there's mechanism in there called                 that protects consumers so that there's an active appeal process and it would become very political. 
 So we've -- they've been able to hold the line on rates for a considerable period of time. They still have a surplus of power in the province. So we do not expect the increase of power to be to really be in place for the foreseeable future. So we're confident that, that rate structure is going to be there for us for a long time, but certainly, for us to be able to take advantage of growing our drawdown capacity from the 69 megawatts that is there now up to 160 megawatts that is the cap of our contracts. And we fully plan on taking advantage of that. And hopefully finding some additional contracts in the province as well. 
Operator: The next question will come from Raymond Rondeau with AGI Envirotank LTD. 
Raymond Rondeau: My family as well as myself have been investing for some time. I just have one question with respect to the June results, could the share-based payments, I realize this noncash, have been deferred to a period when the revaluation wasn't so negative so that there would have been a growth. 
L. Morphy: I understand your question. That's a good technical accounting question. So over to Jeff Lucas. 
Jeffrey Lucas: Thank you, Geoff.  Could it be deferred? It could. But I think it's important a couple of things. First of all, we are very bullish, very optimistic on predicting pricing, but we really can't say where it's going to be in the short term. But even more important, Raymond, is the fact that we've got some very, very ambitious goals for the company ahead. We've got a terrific committed team. We want to make sure that team appreciates and we appreciate the work they're doing, get reward for their efforts. And we felt strong and they've given the opportunities and the challenges that we have ahead of us. It is pretty important that we put this plan in place and not wait a while to do so. And recognizing the fact very importantly, as you pointed out, that is a noncash charge. We really felt given the goals that we are aggressively pursuing here that it may tend to put in place now. 
L. Morphy: And just adding to what Jeff mentioned, like the adjusted EBITDA, we had just under USD 20 million in adjusted EBITDA in Q1, just under $24 million in adjusted EBITDA this quarter. The margins in the -- that we're bringing out of this business right now given our operating program are very strong indeed and the growth objectives that we've outlined are aggressive and strong and are requiring to draw on all of us -- in all of our talents. And in fact, we're looking for additional talent to join the team because of the opportunity here. So we're very excited about it. We've got a very committed team, and we're really counting on delivering the results to all of our shareholders. 
Operator: [Operator Instructions] This concludes our question-and-answer session. I would like to turn the conference back over to management for any closing remarks. Please go ahead. 
Emiliano Grodzki: Thank you very much. We would like to once again to thank both our loyal shareholders for your continued confidence in us and all the new shareholders from around the world who have chosen to invest in our company. We are very proud of the work we have achieved this quarter and the progress we are making towards our growth and profitability goals for 2021, 2022 and beyond. We're looking forward to continue to provide you updates on our progress. Thank you very much. 
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.